Operator: Good day, ladies and gentlemen, and welcome to the Fourth Quarter 2019 Mettler-Toledo International Earnings Conference Call. My name is Shantel, and I will be your audio coordinator for today.  Please be advised, that today’s conference is being recorded.  I would now like to turn our presentation over to your hostess for today’s call, Ms. Mary Finnegan. Please proceed, ma’am.
Mary Finnegan: Thank you and good evening, everyone. I’m Mary Finnegan, and responsible for Investor Relations at Mettler-Toledo and happy that you are joining us. I’m joined here today with Olivier Filliol, our CEO; and Shawn Vadala, our Chief Financial Officer.
Olivier Filliol: Thank you, Mary, and good evening, everyone. I will start with a summary of the quarter and then Shawn will provide details on our financial results and updated guidance for 2020. I will then have some additional comments and we will open the line for Q&A. The highlights for the quarter are on Page 3 of the presentation. Sales growth in the quarter came in better than expected and was quite good given the excellent 8% growth in the prior year quarter. Total local currency sales growth in the quarter was 4%, growth in the Americas and China was strong. We again face meaningful headwinds in the quarter due to adverse currency and the impact of tariffs. With the benefit of our productivity and margin initiatives, we were able to overcome these challenges and delivered strong growth in operating margins and EPS growth. For the full year 2019, we exceeded $3 billion in sales and achieved 5% growth in local currency. Food Retail was down significantly in 2019, excluding this business, we have 6% growth in local currency sales. We achieved a strong improvement in operating margins and a 12% increase in adjusted earnings per share. Given the material headwinds we faced in 2019, we are quite pleased with this performance. One final comment on full year 2019, we generated more than $530 million in free cash flow, a very strong level.
Shawn Vadala: Thanks, Olivier. Sales were $844 million in the quarter, an increase of 4% in local currency. On a U.S. dollar basis, total sales increased 3%, as currencies reduced sales growth by approximately 1% in the quarter. On Slide number 4, we show sales growth by region. Local currency sales grew 6% in the Americas, 1% in Europe and 5% in Asia/Rest of World. China had growth of 8% a little bit better than what we expected the last time we spoke. The next slide shows year-to-date results. Local currency sales for the year grew 5% and as Olivier mentioned, excluding Food Retail, local currency sales growth was 6% in 2019. By region for the year sales increased 6% in the Americas, 3% in Europe and 6% in Asia/Rest of World. On Slide number 6 we outlined local currency sales growth by product area. For the fourth quarter laboratory sales grew 6%, industrial increased 2% with core industrial up 4%, while product inspection was flat. Food Retail declined 2% in the quarter.
Olivier Filliol: Thank you, Shawn. Let me start by providing some additional comments on our operating results. Our lab business continues to perform very well with 6% local currency sales growth in the quarter. Most products lines did well, particularly if you look at it on a two-year basis. Sales growth in the Americas and China was particularly strong. Our laboratory business is well positioned to continue to gain share and we’re pleased with our robust product portfolio. We expect market demands to remain favorable, especially in pharma life sciences. We also sell our lab instruments into other end markets and see some pockets of weakness in certain end market. Overall, we expect good growth in our laboratory business in 2020, although we face more challenging comparisons after several years of very strong growth.  In terms of our industrial business, product inspection was flat in the quarter, in line with our expectations. We continue to believe this business will grow low-to-mid single-digit in 2020. As we discussed last quarter, we have not yet seen the large food manufacturers return to full investment mode, particularly with respect to global rollouts. We believe this is a matter of timing and are well positioned to capture growth once these food companies return to investment mode. Core industrial did great in the fourth quarter, increasing 4% against 13% growth in the prior year. This was better than we had expected and we are very pleased with the performance. We’re executing well in core industrial as this business continues to gain traction with a Spinnaker sales and marketing initiatives. Core industrial is also benefiting from innovation. Underlying market demand is good enough and we can capture growth given the diversity of our products, customers, end markets and geographies. Finally, Food Retail was down 2% in the quarter, pretty much on target with what we had expected. However, our outlook for this business has deteriorated since the last time we spoke. We expect it to be down double digits in the first quarter and be down for the year. Underlying market demand is weak and although we have easy comparisons, we don’t expect meaningful improvement until later – in the later part of the year. We had assumed last time we spoke that given the lower level of project activity in 2019 we would have some recovery in 2020. Based on our outlook for Q1, we don’t see this happening until later in the year. As a reminder, we are managing this business for profitability, which also makes forecast in sales a bit challenging. We have enacted cost reduction actions over the last year in light of the challenging conditions. Now let me make some additional comments by geography. I will start with Europe, which was up low single-digit. Lab had growth, while core industrial and product inspection were down against very strong growth in the prior period. We continue to think this business will be up low single-digit for the year. We would expect a modest decline in the first quarter, principally, due to significant decline in Food Retail as well as the 9% growth in Q1 2019. Americas continues to do very well with 6% growth in the quarter. Lab and core industrial had strong growth. We expect market conditions to remain favorable and expect solid growth in 2020. But this region will be impacted by prior year comparisons. Finally, Asia/Rest of World had solid growth with most business lines doing well except for Food Retail. China had strong growth in the quarter with double digit lab growth and high-single-digit industrial growth. Excluding the temporary impact of the coronavirus, our outlook for this region remains favorable, but they will continue to face strong multi-year comparisons. I want to point out that in Q1 last year China grew 13%, the strongest quarter of the year. Due to this tough comparisons and the impact of the virus we discussed earlier, we now expect Q1 sales in China to be down mid-to-high single-digit. Our full year sales growth in China remains unchanged from our previous level of growth in the mid-single-digit range for the full year, principally, due to strong multi-year comparisons and the slightly more challenging industrial environment. One final comment on the business. Service and consumables together represent about one-third of our sales growth and both grew 7% in 2019, very happy with this strong accomplishment. That concludes my comments on the different pieces of the business. We often speak to you about how we view our Spinnaker sales and marketing programs as key differentiators in the market. Another important differentiator is the strength and breadth of our product offerings. Let me give you some additional insights, starting with our laboratory offering. We can provide more than 40% of the instruments that the scientists or chemists uses daily in a typical analytical lab. These instruments range from balances and pipettes to analytical instruments such as pH Meters, Titrators and UV Vis. And finally to our automated chemistry solutions, which can help in drug process development. We compete against different players across these product categories. No one has the breadth and the leadership of bench instruments than we do. Our LabX software can link these instruments and provide connectivity to our LIMS or Laboratory Information Management System. This is a very powerful competitive advantage as none of our direct competitors has anything close to this capability. More important than the number of instruments, we can provide is, the value of these instruments provides to our customers. Across the portfolio of instruments, we focus on three important value dimensions. First is automation. Our instrument provides greater efficiency, highest sample throughput, and less errors in daily laboratory tasks and analysis. Second is information. Our instruments can perform complex analytics often with one-click of a button and also can improve the integrity and traceability of the data. This is especially critical in regulated environments. The final dimension is measurement quality. We provide services such as calibration and good measurement practices to support the quality of our customer processes. We refer to the value outlined in these dimensions as the power of the bench. Our focus is to leverage and response to global trends that our customers face, such as demand for greater productivity and digitalization and data management needs. Our lab solutions ensure compliance and data integrity and provide real advantages in terms of automation and productivity. We have additional product launches and R&D developments in 2020 that will continue to win forth the strength of these value dimensions. Likewise, on the industrial side, our product offering is very strong and we continue to distance ourselves from competition with the breadth of the offering. Our industrial customers are constantly striving to improve the productivity and streamline data management. We are launching several highly innovative products and applications that help with these challenges. For example, InVision is our breakthrough innovation for manual workplaces, where weighing, counting and packaging tasks have high error potential. InVision uses machine learning and combined weighing technology and camera recognition for fail-safe parts identification in milliseconds. Guided working steps, automatic data capture and process verification significantly increases production, quality and worker efficiency. The instrument directly connects to the customer’s production and ERP systems, providing full data visibility and visual proof of order fulfillment. We expect customers could achieve productivity improvements of up to 30% with this evolutionary product. This is just one example of many new product developments underway, where the combination multiple sensor technology, the use of machine learning and artificial intelligence enables us to develop breakthrough innovation with unique new value proposition. Furthermore, by utilizing the R&D expertise throughout the world, we can develop these products at very short time period. These are just a few examples of the strength of our R&D innovation that continues to be an important component of our market share gains. That concludes our prepared comments. We’re very pleased with our results in the fourth quarter and full year 2019. While uncertainty exists in the global economy, we believe we are well positioned to gain share and deliver good earnings growth and solid cash flow generation in 2020. Now I want to ask the operator to open the line for questions.
Operator:  Your first question comes from Brandon Couillard with Jefferies. Your line is open.
Brandon Couillard: Hey, thanks and good afternoon. Olivier or Shawn, as we sort of think about China and the virus impact on the first quarter, which segments would be more impacted than others, is lab versus industrial? Would you expect to recoup most of that in 2Q or more over the balance of the year? And would you remind us how much of the China manufacturing is for the export market versus domestic consumption?
Olivier Filliol: Okay. So referring to the segments with the biggest impact, first, I want to start the fact that offices are closed here for additional days it has an impact across the business. The second impact that I want to highlight is the restrictions of the field sales force in terms of traveling. And again, that’s quite broad-based. On that latter part, however, we can take a mitigation measures. We are, for example, very active already this week in rolling out a broad training program to our own sales force as well as our indirect channel partners to be more effective in telesales. In the past, we did telesales with a focused team. Now we want to make sure also fail-safe people are experts in telesales and leveraging that. Now this is kind of the short term impact. Now what – when we think about segments, we need to think also the demand side that will be impacted here in Q1 and as an example, the one that we expect to be most impacted is the retail business. The retail business is impacted because the Chinese consumers behave differently at this stage. And that we will feel in a quite strong way. The lab business, I would expect to be actually much less impacted. There might be even some upside later in the year. Now in terms of how fast this comes back, we do expect a pent-up demand. We do also expect that from a Chinese government standpoint there might be some stimulus that will help. I would hope that we see already some of that in Q2. But certainly expect that it’s going to take Q3 and Q4 to fully recover, so certainly not the full recover in Q2, absolutely not. And then in terms of the supply chain, you asking how much of the products we produce in China and then export to the West, I would first say, we have a part where we produce in China, but of course, we also source components and that’s quite significant. But on the good news is, we are very close on this whole supply chain impact. Our local Chinese team has done a fantastic job in assessing the impact and taking mitigation factors. I have also my global supply chain team very actively on that one. We have, for example, contacted all our suppliers and all our Chinese suppliers. So far, it has given us green lights. We feel comfortable. We have also taken mitigation factors. At this stage, we do not expect any significant impact on our global supply chain. I do not expect any significant delivery issues coming out of that. But this is also assuming that operations will come back on February 10. And if there are not, I still feel mitigation factors will help. But of course, it called loss for weeks.
Brandon Couillard: Thanks. And just one more, the core industrial business is pretty remarkable given the tough comp in the fourth quarter. Do you sort of elaborate on some of the drivers there? If there was any perhaps fourth quarter budget plus dynamic and maybe speak to some of the innovation and maybe new products that might be supporting the strength? Thanks.
Olivier Filliol: So indeed very happy about the results, did also exceed expectations. I really feel this is a reflection of very good execution by the teams around the world. Because the end user markets that we serve with core industrial were not particularly strong as mentioned that we even saw some pockets of weaknesses. Nevertheless, we did here very well. I feel the core industrial benefits from things that we shared with you at previous occasions in the context of Spinnaker sales force guidance for example, helps really very nicely in the core industrial, because it helps us to guide the sales people to the industry segments that are the most relevant and most interesting for us. We had, for example, particular focus on life science industry and pharma industry for core industrial. That helped. So on the one hand, this whole how the go-to-market dynamic and the marketing then was strong and then we had a good product portfolio. There were many smaller innovations, but all together they make a difference. We had hardware products, but we had also software products that we had into use the last two years that benefited. At the previous occasions, I had shared that with you, for example, a new portfolio for the floor scales, but also in the area of counting scales and so on, so good product. On the prepared remarks earlier, I just highlighted the product InVision that we definitely also feel is prove of strong leadership in innovation. Now none of these products will be important enough to really make a difference to the top line, the group sales. But in aggregation together they make a difference and they sometimes help us to open new doors and sell significant solutions to key accounts.
Brandon Couillard: Very good. Thank you.
Operator: Your next question comes from Derik De Bruin with Bank of America. Your line is open.
Derik De Bruin: Great. Thanks for putting me early, before all the questions get asked. Just quick one. You mentioned some softness in the lab business, some type of softness. Could you elaborate on that one? I would assume some of that could be your thermal analysis portfolio?
Olivier Filliol: Let me quickly jump in. We’re talking about certain end markets that have weaknesses, not, okay. So it’s really end markets. And when I talk about end markets, and this wasn’t just slapped, this is kind of overall, if you think one-third of our revenue roughly comes from pharma life science and the other two-thirds come from many different industries. And we have industry – end user industry like metal, plastic, electronics and even some chemical industry that wasn’t particularly strong. And it depends a little bit by region. But for example, in Europe you have the automotive industry that is really weak. Now automotive itself is not an important segment to us, but there are suppliers to the automotive industry that are relevant for us, plastic, but also again components at all. And so we had these end user markets. Now when you will say, hey, that’s more relevant for industrial. No, actually for lab too, because we have a lot of instruments that go in quality labs. And so we saw, so for example, thermal analysis would go and be relevant there also weighing and so on. Even that, when you look at the whole product category for us, we did well, but when we analyze it by end user segments, we saw some pockets of weakness. And that was what I tried to highlight, kind of also say trying to say, hey, we have here an economic environment that is good enough for us. But that doesn’t mean that every end user segment is as strong as life science.
Derik De Bruin: Got it. That’s really helpful. And I guess just sort of looking at those pockets or just looking about those things that there’s, I mean, do you think there’s – when those segments do recover, is there pent-up demand in those segments? I mean, given that they’re sort of like outside in the life sciences area?
Olivier Filliol: Derik, I think for these segments we are rather late cycle and in that sense, I think right now, we are in that situation. We saw it in Q4. We will also see it in Q1. But I think actually there is upside on that one. I rather think we see it also in certain PMI statistic and so on that these segments should actually start to recover. But let’s be also cautious. The overall global economy is fragile.
Derik De Bruin: Yes. Great. And then just one follow-up. Obviously, tariffs had been a headwind for you and we’ve got this trade deal on the horizon between the U.S. and China. Can you sort of talk about your expectations sort of for the trade outcomes and sort of like how that could impact it if things get resolved?
Olivier Filliol: So the deal that took place doesn’t have a direct benefit to us. So the tariffs that we are impacted on are still in place. And I don’t think there is anything near term here that could change. However, the fact that there was a deal between U.S. and China helps the overall economy helps confidence in China and that’s good for us. Again, I do not expect that tariff situation will change you in the near term. And so we are assuming for tariffs, the status quo. And that means, we still have headwinds for tariffs for another two quarters.
Shawn Vadala: Yes. So just to be clear, we’re going to have headwinds for Q1 of about 2%. It was the gross impact of tariffs and then we’ll have a little bit of impacting Q2.
Derik De Bruin: Great. And just one final question, Shawn. What’s the embedded number for operating margin expansion in your 2020 guide?
Shawn Vadala: Excluding the impact of currency, we’re probably looking at about 70 basis point improvement in 2020. But currency will probably right now we’re looking at it, it could have a headwind of up to 20 basis points.
Derik De Bruin: Great. Thank you very much.
Operator: Your next question comes from Patrick Donnelly with Citi. Your line is open.
Patrick Donnelly: Great. Thanks, guys. Olivier, maybe just on the guidance since the last update last quarter, we now have the headwind from Food Retail turning negative for 2020, a little bit of uncertainty around coronavirus, a bit of a headwind in 1Q at a minimum. I’m just kind of think through, how it seems like a few things have turned against you guys yet, you’re maintaining that overall guide. Was there just enough conservatism in the original number, you’re able to absorb these headwinds, maintain the guidance, maybe it’s more fair now there’s a little bit of a cushion removed or other just things in the portfolio improve a bit to allow you guys to maintain that number?
Olivier Filliol: I would say, I highlight two things. First, we did better than expected in Q4 and that day was – even more confidence in our execution, it shows that our programs are really going well on. And so that played a role. And the second one is, you mentioned here a few things that we are more concerned now, but then I would highlight core industrial that I feel better. And I highlighted, we had really a very good results here in Q4. And we have better confidence for the full year. So I think that’s a combination of things. Net-net, I feel as comfortable about the guidance for this year as I was in November. And that’s really why we keep the full year guidance even that we see here for Q1, a bigger target.
Shawn Vadala: And as we mentioned in the past too, one of the big questions we had a quarter ago is, what is it going to be like when we start to lap some of these tough comparisons in core industrial? I mean we just lapped 13% last year and we have one quarter behind us in that regard and now it gives us a little bit more confidence in the momentum in that business.
Patrick Donnelly: That’s helpful. And then just on the recovery of the sales later in 2020 in China specifically, could you just talk through what gives you the confidence that those are going to come back? And then on top of that, just, any metrics that could help us think about, if this headwind does keep going, if China is shut down a little bit longer than February 10, how sensitive is the business to another week, another two weeks, et cetera, anything you can provide would be helpful there.
Olivier Filliol: So we – from experience, we have seen that if you have – if we have a significant slowdown, we have the pent-up coming back and that’s just based on experience and we have every reason to feel the same way here. And as mentioned before, I do expect that the government will also support the economy and that we will benefit. And there are certainly areas where we probably going to see more investments, particularly in the area of life science as an outcome of this. The second question, it’s not an easy one to answer. To be honest, we have spent a significant time to review here with our local team. The impact now for this February 10 we sought. So I think it will mostly depend what kind of actions the government takes. If the government would suddenly extend this lock periods for operations that people would not allow to go back to the facility or so. That’s one. But the other one is they might restricts travel. And I can’t be give you good numbers here for all the different scenarios. From today’s perspective, I’m not particularly concerned about the supply chain. I think we can master that and we have reasonable contingency, even if this takes a few extra days, I don’t see that as a big problem. The bigger question is actually how our customers will react in that situation. That’s the big one. I think what we can manage things we – you heard me saying before, we have contingency plan. When we think about alternatives, we have this tele-channel that we can activate and all that stuff. But it’s difficult to anticipate what the customers will be. And we have so many different customers in China. You have international customers, you have the local ones, you have food, you have life science. So every extension will impact our numbers. No question. But I think with our guidance that we gave you and the details we gave you – we gave you already quite some indication that this extra days of closing has a significant impact on our numbers. And if this is extended by one or two weeks, then you need to assume that our numbers will be worse than what we are guiding you right now in Q1, right.
Patrick Donnelly: I appreciate the color, Olivier. Thanks.
Operator: Your next question comes from Tycho Peterson with JPMorgan. Your line is open.
Tycho Peterson: Hey, thanks. On the cost side of things, you had flagged some cost reduction actions last year. I felt like they may be over in the first part of this year, but it seems like those programs are continuing. Is that a correct assumption? And are you accelerating any cost actions on the food business in light of what’s now a lack of recovery there?
Olivier Filliol: Yes. And so we initiated the front cost actions. There were cost actions related to the Food Retail business. These were executed throughout last years and we’re going to have the benefit also ongoing list here. There were also cost actions that we did in the area of IT, back office and so on. These were executed mostly in Q3. And so we have more benefits coming in this year. So yes, different things, we have benefits in 2020 coming from that. And we build it in our guidance.
Shawn Vadala: And then on top of that, of course, we have our ongoing programs under the stern drive umbrella that we’re constantly doing as well too.
Tycho Peterson: And then Shawn, can you quantify the price contribution in the fourth quarter and you had the question before on tariffs, but as we think about those eventually kind of getting unwound, just your latest thinking on ability on the capture price this year in the environment?
Shawn Vadala: Yes. Sure. So in pricing, we’re very pleased with the quarter. It came in very much as we expected, just slightly under 2.5%, which kind of puts us right at that same kind of number on a full year basis. And then in terms of tariffs, on an annualized basis, the gross headwind is about $25 million. As we’ve kind of communicated in the past, if it all went away, some of the mitigation actions would also go away. We’ve kind of mentioned in the past that we would see probably an EPS growth benefit of 1% to 1.5%. I’d probably say sitting here today it’s maybe closer to 1.5% kind of benefit on an annualized basis.
Tycho Peterson: Okay. And then just lastly, given the unchanged China outlook, setting aside the coronavirus impact, are you factoring in any government stimulus versus a macro slowdown there in the base business?
Shawn Vadala: We haven’t – I mean, it’s not like we have a formula where it’s so micro, but I mean certainly it’s in our thinking to give us confidence that we can still meet the midyear – I mean, I’m sorry, the mid-single digit sales growth guidance for the full year for China. As kind of Olivier, kind of already mentioned with the expected recovery in the second half of the year. But certainly, that could be an upside that we could see in the latter parts of this year.
Tycho Peterson: Okay. Thanks.
Operator: Your next question comes from Dan Leonard with Wells Fargo. Your line is open.
Dan Leonard: Thank you. Circling to China again. Can you elaborate on the fourth quarter performance, it came in better than we were looking for. Where did you exceed plan? And some of the other companies and analytical instruments talked about some weakness in China in Q4 and towards year end. Apparently you didn’t see that. Can you discuss maybe what the differential trends you were seeing?
Shawn Vadala: Yes. We were very pleased with China, came in a little bit better than we expected 8% growth. On the laboratory side, we were double-digit growth. So we’re very pleased with that given the stack comps that we’ve talked to you about in the past, but equally very happy with the industrial business. I mean, our industrial business was up high single-digits, very strong high single-digits. So we’re very pleased with that type of growth as well to. Offsetting that is we had a weaker results in the local retail business there. But otherwise very pleased with what we saw in the quarter. And frankly, we were feeling very good entering 2020 before the coronavirus situation.
Olivier Filliol: Yes. I would actually put it to really good execution by the team. I think the team does a fantastic job. They are very effective in implementing Spinnaker. And they are really good at going off to the industry segments that have the best opportunities. And that was very helpful in that environment that we experienced here in China last year.
Dan Leonard: And then my follow-up, how are you thinking about Europe into 2020? You’re coming off three quarters here, where growth was barely about flat. You have a tough comp in Q1, so that’ll be four quarters that type of result. How are you thinking about the outlook for that region looking forward? Thank you.
Shawn Vadala: We expect to get off to a slower start there. As you mentioned, we have our toughest comp there with a 9% growth in the prior year. Europe will also have a little bit of retail effect in the first quarter as well. But right now, we continue to feel like the economy has been good enough there. But we’re very much aware of where PMI has had been over the last year. We continue to monitor it closely. But as we always say, as long as customers stick to their replacement cycles, we feel pretty good. And similar to China, we also have a very strong execution by our sales and marketing organization in Europe. And given that it’s our largest direct business, we often get the most impact from a lot of our Spinnaker sales and marketing initiatives there.
Dan Leonard: Okay. Thank you.
Operator: Your next question comes from Dan Arias with Stifel. Your line is open.
Dan Arias: Afternoon guys. Thanks. Olivier, on the food business. It sounds like this will end up being a pretty prolonged period of just challenging conditions by the time all said and done. I guess I’m wondering, once you recovered a bit, do you think there might be some new market share opportunities? Is that in the picture or is the competitive landscape pretty settled with a bunch of big players in it?
Olivier Filliol: I think the competitive landscape is quite settled because we are not running the Food Retail business for market share. We really run this business for profitability. We are focusing particular on large accounts. We are focusing on the most attractive countries. And in that sense, we have refined our strategy and are executing that strategy and we’ll stick with it even when the market will recover. Yes. I think we are really – we want to be very disciplined on that business. We have been running this strategy for quite a few years. And of course, it hurts when we see that it impact our top line. But this resource shifting that we are doing in the organization helps us to grow many businesses with excellent profitability, with excellent long-term growth opportunities. And the Food Retail business, we did less of that. And as a consequence, it became smaller in percentage of the total business. Today, Food Retail is about 7% of our revenue. This is much less than what it was couple of years ago. And I feel this is the right strategy. So I’m not irritated by these temporary challenges, but of course it hurts, no question.
Dan Arias: I got you. Okay. And then Shawn, I guess maybe this is a housekeeping question. But anything from a pacing perspective across the quarters of 2020 that look either different or clearer than they did back in October, aside from the obvious with the virus and food factors more additional on their fundamentals.
Shawn Vadala: Yes. No, of course the recovery from the coronavirus is now like the topic that’s going to impact Q2 versus Q3, but nothing really standing out from my mind when I look at the rest of the year at this point in time.
Dan Arias: Okay. Thanks much.
Operator: Your next question comes from Jack Meehan with Barclays. Your line is open.
Andrew Wall: Hi, this is Andrew Wall on for Jack. Turning to product inspection, can you walk us through some of your customer segments in the trends and spending?
Olivier Filliol: The biggest category is packaged food. And that’s the biggest one. But you would also have, for example, the cosmetics industry also a little bit of pharma and you also have a meat, which can be unpackaged meat. So these are kind of the different categories. They are typically big companies. Many of them have global operations. Yes, that would characterize kind of the key end user segments. This packaged food companies, the branded packaged food companies have a rather difficult period. There are new market trends from consumers that impact things. You have channel topics that they face, these branded consumer package companies. And you see that also kind of the overall performance of these companies’ market caps and so on. And that has an impact on their investment behavior. And we feel that.
Andrew Wall: That’s great. Thank you. And in Europe, have you seen any impact from stalking related to Brexit?
Olivier Filliol: No. The whole Brexit topic has not been a particular relevant one for us. Now we had our contingency plans in case it would have been a hard Brexit. Now things are really calm for us. And of course, if at the end of the year this hard Brexit becomes again a probability, then our contingency plan will be very relevant. But I want also to remind the UK it’s about 3% of our revenue. So even if Brexit would have some demand implications, it’s not so relevant for the group level.
Operator: Your next question comes from Vijay Kumar with Evercore ISI. Your line is open.
Vijay Kumar: Hey guys, thanks for taking my question. Olivier, just maybe a big picture on the revenue side. I appreciate all the macro comments. But if you just look at over the last few years, lab products, it’s running pretty hard. It did slow down in 2019. In 2019 you also had food, which was severe and you had tariffs, which were incremental. If the macro really hasn’t changed, I’m just – where is the delta coming in when you look at versus 2019 versus 2020. I think, putting all the pieces together, I think you’re trying to say macro hasn’t changed. But we’re trying to be prudent. So maybe just walk us through on some – where you think could be the plus and minus.
Olivier Filliol: Let me have Shawn to respond here just to clarify a few things and then I’ll come back.
Shawn Vadala: Yes. So Vijay, maybe one thing is that in 2018, if you’re comparing it to growth in 2018, included a little bit of acquisition growth. So I think if you look at 2019 and 2018 on an organic basis, were both – above, I think it was 7% in both years. So from our perspective, we don’t feel like there’s any difference or slow down. And especially when you look at our growth on our multi-years stack basis, we feel very good about the business and the momentum. And if you look at inside the business, I think, particularly interesting this year as you saw very, very strong growth across many of the product categories. And so it just shows you the breadth of the portfolio really working the robustness of the portfolio, lots of new products coming out in the last few years. And of course, lab benefits disproportionately from our Spinnaker initiatives just given the end markets and a lot of the focus. So we actually felt very good about lab entering this year, recognizing people might’ve wanted us to guide higher than mid-single digit, but really it was very much just related to the multi-year stack comp.
Olivier Filliol: Yes, I leave it, I totally agree in that sense. I don’t think there is a particular effect here that we need to highlight.
Vijay Kumar: Understood. And then maybe one last one. And Shawn, maybe I missed this. But the pricing assumption for 2020, is that consistent with 2019? And anything on the tax line, pluses or minus for 2020 versus 2019.
Shawn Vadala: Yes. So on the pricing side, we had kind of previously guided between a 150 basis points to 200 basis points, acknowledging that the last few years we’ve been in that 200 plus basis point range. But I think it’s also fair to say in the last few years, we’ve also been able to take advantage of some inflationary situations or the tariff situation. We kind of entered 2020 with a lower inflation environment around the world. So I think we probably will see something more the 150 basis point to 200 basis point range. And then in terms of the tax rate, no change to 2020. We expect to be at 20% before discrete items in 2020.
Vijay Kumar: Thanks guys.
Operator: Your next question comes from Steve Willoughby with Cleveland Research. Your line is open.
Steve Willoughby: All right, thanks for squeezing me in here. I guess, first Olivier, based on the feedback you’re hearing from either internally or externally, how confident are you at this point that things get going again next Monday in China?
Olivier Filliol: From today’s perspective, everything point out to this, but honestly things have changed a lot every day. We have been on the phone and the email exchanges every day and there was always news. I think in that sense, I am confident with the information that I have. But I have also seen that individual provinces make their own decisions and that can also influence us. It can be travel restrictions specific to provinces and so on. But again, from today’s perspective, we do expect that we can re-launch our operations.
Steve Willoughby: Okay. Thank you. And then just a follow-up on that. Are you expecting any – in terms of the revenue headwind from this kind of extended holiday, does it impact the segments equally or would – one of the segments impacted more in the near term here?
Olivier Filliol: As I covered early on, first, we are impacted now just by the fact that we can’t meet our customers. And that we can’t really take orders or initiate quote and all these things. I would say, independent across all the industry segments. But then there are industry segments that will be impacted in terms of demand in Q1. I was highlighting that for example, retail will probably be more impacted than life science pharma customers, maybe even packaged food companies. So there will be differences.
Steve Willoughby: Very good. Shawn, just one quick one. If I have my notes correctly from a quarter ago, I had written down that you were thinking about 90 basis points of margin expansion this year, when backing out FX and I think you said, 70 basis points. I just wanted to clarify that.
Shawn Vadala: Yes. We were a little bit more optimistic on the margin maybe three months ago. One of the things kind of mitigating that was higher pension service cost. So there’s a benefit below OP on that for the non-service part, but the service part is above OP. So they kind of largely offset each other in terms of EPS, but it’s a little bit more of a drag on OP.
Steve Willoughby: Okay. Thank you.
Operator: Your next question comes from Dan Brennan with UBS. Your line is open.
Dan Brennan: Great. Thank you. Thanks for taking the questions. Olivier or Shawn in terms of the 2020 kind of making up the temporary shortfall here in Q1. Does that work equally for both consumables and instruments? I would assume instruments, again, you likely kind of make those up, but I’ve figured consumables, whenever research isn’t done or whatever things aren’t done in Q1 probably get lost. So can you just speak a little bit to, I know you’re more instrument heavy. But how do you characterize kind of the ability to make up both instruments and/or consumable whatever’s loss in Q1?
Olivier Filliol: On the consumables topic, most of our consumable is actually related around liquid handling pipettes. Actually the pipette business could be one that has some upside from the whole thing. You can imagine, but pipetting is very important and I wouldn’t be surprised that we saw a trend to on will be intensified. It’s even an area that where you right now see in our Chinese business. So I don’t think that we will lose on the consumable business for the full year. And even the other part of the consumable, I don’t think will be much impacted. The consumable piece is impacted by the research activities and in the area of production. For example, when I think about process analytics and so on, I don’t think that the demand would be impacted for the full year.
Shawn Vadala: And we might see something in field service. But that’s a smaller part of the Chinese business versus our global average.
Dan Brennan: Great. And then I know you addressed this earlier, but I wasn’t clear, maybe I just missed it. Are you assuming in the full year guide that the government does produce some additional stimulus or that Shawn, I think you may have actually said to Tycho’s question that would actually could lead to upside. I just want a clarification on that.
Olivier Filliol: It’s part of the pent-up recovery that we were mentioning before. It’s not huge, but we have it…
Shawn Vadala: It was a consideration.
Dan Brennan: Got it. And then this might be hard to do, but given coronavirus is kind of impacting a lot of things outside of China. But is it possible to kind of step back from coronavirus and say, you’ve been pretty consistent since last year flagging these uncertainties and some pockets of weakness, but we have seen PMIs tick up a little bit here. Is it possible to look at – separate coronavirus from what you’re seeing globally? And do you think as you look back over the last couple of quarters, are things looking any better or is it stable/worse? Because the language seems similar, I just want to see how you’d characterize the global environment for your businesses.
Olivier Filliol: It didn’t change too much. I think, I was highlighting before that I felt better about our execution in Q4, particularly also in core industrial, but also overall I felt better on that piece. What came in weaker is Food Retail. And certainly we have certainly global economy things, but I wouldn’t give too much weight on that. So net-net, I feel the same.
Dan Brennan: Got it. And then, maybe one more just on product inspection. What could we look forward in terms of visibility kind of the environment getting better? Is it packaged food CapEx? Are there any trends we can watch ourselves just to kind of see or get ahead? And when this market could begin to recover and you kind of see that investment spending happening?
Olivier Filliol: Package food CapEx is certainly a good indicator for that. This is an indication how much investment is going in packaging equipment and all the things that is. And in general, I would say when the consumer packaged food – consumer package companies recovering we will see investment going back into it.
Dan Brennan: Great. Thank you.
Operator: There are no further questions at this time. I will now turn the call back over to the presenters.
Mary Finnegan: Thank you. And thanks everyone for joining us this evening. As always, if you have any questions, please don’t hesitate to reach out. Take care and have a good night, everyone.
Operator: This concludes today’s conference call. You may now disconnect.